Operator: Good day, ladies and gentlemen, and welcome to the Fourth Quarter 2012 JDSU Earnings Conference Call. My name is Deanna, and I'll be the operator for today. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I would now turn the call over to your host for today, Ms. Cherryl Valenzuela, Senior Manager of Investor Relations. Please proceed.
Cherryl Valenzuela: Thank you, Deanna, and welcome, everyone, to JDSU's Fiscal 2012 Fourth Quarter and Year End Financial Results Conference Call. Joining me on the call today are Tom Waechter, Chief Executive Officer; and Dave Vellequette, Chief Financial Officer. Tom will provide an overview of our June results and strategic execution before handing the call to Dave for a more detailed discussion of our financial results. We will follow that with Q&A where Alan Lowe, President of the COP business segment, will join us today. I'd like to remind you that this call will include forward-looking statements about the future financial performance of the company. Forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from management's current expectations. We encourage you to look at the company's most recent filings with the SEC, particularly the Risk Factors section of our Annual Report on Form 10-K filed on August 30, 2011. The forward-looking statements, including guidance, provided during the call are valid only as of today's date, and JDSU undertakes no obligation to update these statements as we move through the quarter. Please note that all numbers are non-GAAP unless otherwise stated. A detailed reconciliation of these non-GAAP results to our GAAP results, as well as a discussion of their usefulness and limitations is included in today's news release announcing our results, which is available on our website along with supplementary slides and historical financial tables. Finally and as a reminder, this call is being recorded, and the replay will also be available shortly on our website. I would now like to turn the call over to Tom.
Thomas H. Waechter: Thank you, Cherryl, and good afternoon, everyone. JDSU delivered solid fourth quarter results in a challenging macroeconomic environment. Revenue of $439 million topped our guidance and operating margin was 8.7%, on the high end of our forecast range. Book-to-bill was greater than 1 for the company overall and for 2 of our 3 business segments. Cash from operations was $38 million, further contributing to our healthy balance sheet. Our steady execution on our strategic priorities has enabled JDSU to outperform despite difficult market conditions, further differentiating ourselves from competitors and increasing our leadership in the markets we serve. Our latest financial results reflect market share gain and our financial leverage stemming from our commitment to this priority. We continue excellent forward momentum with our technological innovation. New products accounted for 58% of revenue in core network market, consisting of Optical Communications and communications test and measurement. CommTest in particular had a strong quarter, reporting a record high 62% of revenue from new products in fiscal Q4. We are seeing broad-based growth from our diverse product portfolio, covering high-speed access, wireless, Ethernet and 40G, 100G transport. One of the areas of accelerated growth for CommTest is software. We recently announced PacketPortal and PacketInsight, 2 new solutions that provide carriers with greater intelligence and visibility into their networks and allows them to conduct real-time analysis and troubleshooting of network issues. We are seeing good traction with both products. We started shipping PacketPortal in February, and we now have 3 customer orders, 15 trials completed and 6 trials in progress. We are also off to a solid start with our PacketInsight appliance, where we have already shipped 10 units to a large tier-1, North American carrier. Initial feedback from this customer has been very favorable. Trials are either planned for presently taking place with 10 additional customers. Another key growth driver for CommTest is wireless. Today we announced the signing of an agreement to acquire GenComm, a provider of test and measurement solutions for wireless base stations and repeaters based in Seoul, South Korea. JDSU is GenComm's exclusive reseller outside of Korea. Revenue from GenComm products was more than $7.5 million of CommTest revenue in fiscal 2012. From a strategic perspective, acquiring GenComm brings our wireless engineering talent in-house to JDSU and further expands our competitive presence in the fast-growing Asia-Pacific region. Dyaptive, our capacity testing business acquired earlier this year, is also driving wireless test momentum for JDSU as it delivered record revenue in the June quarter. The integration into JDSU is complete, and we are leveraging our global sales team to rapidly grow its customer base. These recent acquisitions continued JDSU's expansion into wireless that began with the NSD acquisition 2 years ago. GenComm and Dyaptive complement our already broad and market-leading set of wireless test solutions, including network protocol analyzer, drive test systems and service assurance systems. We are now organically investing in innovative ways to cross-leverage the capabilities between these products so we can bring even more value to our customers. Turning to Optical Communications. We are pleased with the progress we have made on disruptive new product, particularly those addressing next generation networks and enterprise class Datacom markets. Revenue from 40G and 100G components is growing rapidly. We have multiple high-speed modulators and receivers and high-volume production, with many additional customer programs in the development pipeline. We also continue to make solid progress with our TrueFlex product suite designed for next-generation networks of 100G and faster. WSS samples have been delivered to customers, while TrueFlex and next-gen blade design activities is steadily progressing. Another disruptive product is our tunable SFP+. We have received orders for tunable SFP+ and shipment has started this quarter as planned. As with our tunable XFP, we expect the introduction this quarter of tunable SFP+ to have a significant time to market advantage to our competitors. We also had a very successful quarter in pluggable transceivers. We are increasing market share and penetration into key accounts with our broad range of client-side pluggables to address enterprise LAN/SAN needs and the cloud. Our focus on collaborative innovation continues to resonate with customers, resulting in sequential revenue growth at 8 of our top 10 Optical Communication account. Moving on to our other core business, anti-counterfeiting. We have completed the technology conversion required to introduce security thread substrates for currencies to the market. We have also completed most of the expansion of our capacity for both OVP and OVMP security business. Both of these capacity expansions better position us to meet the critical and growing need for next-gen security features. The adoption of our OVMP product on banknotes is growing at an encouraging rate, with 20 countries having either issued or announced banknote designs that include OVMP. Looking at our adjacencies, fiber lasers continue to be an area with significant growth potential. While revenue did slow in June quarter after a record March quarter, demand for this product remains strong. Meanwhile, our solid-state lasers showed a healthy recovery in June. These are our Q Series lasers, which are use primarily for semiconductor processing and other micromachining activities. We also continue to develop new applications for gesture recognition, another adjacency. We recently signed an advanced development contract with a major customer in the home entertainment area. We are collaborating with several others on related commercial applications. This is in addition to ongoing work related to our current customers in the next-gen platform. As we mentioned on a previous earnings call, we expect new applications for gesture recognition to launch within the next 12 to 18 months. I would like to switch gears now and provide an update on our initiatives to drive business model improvement. In CommTest, we have completed the heavy lifting to refine and consolidate our operation. In fiscal 2012, we implemented a number of initiatives to reduce costs by driving supply-chain leverage and operational efficiency. We expect to see significant benefits from these initiatives over the next 2 quarters. We recently outsourced repair services through a third party, which will improve customer satisfaction and result in additional savings. At the same time, we are significantly consolidating our CommTest contract manufacturing footprint. In CCOP, we continue to increase our use of bill sourcing to drive cost reduction. We've also reduced our inventory significantly as we are working to realize supplier cost reduction into product cost reductions more quickly. Regarding our AOT business segment, we are sharpening our focus on our core activity of providing anti-counterfeiting solutions for currency and pharmaceuticals. With this focus, we will be realigning this segment by separating the bank card hologram business from our optical security and performance technologies. As a result of this strategic realignment, Luke Scrivanich, who successfully lead our Flex business, consisting primarily of anti-counterfeiting solutions for currency for the last 4 years, will expand his role as a Senior Vice President and General Manager for the newly created Optical Security and Performance business unit, reporting directly to me. OSP combines the previous Flex and optical coatings product line. Roy Bie, who has led AOT for the last 6 years, will now focus on bankcard hologram, where he will oversee the evaluation of our strategic alternatives for that business. Finally, Dave Vellequette will step down as JDSU's CFO on August 31 following the filing of our 10-K, and will leave the company on September 29 to pursue another opportunity. For over 8 years, Dave has been a key member of our leadership team and an important contributor to our corporate strategy. On behalf of the board and the entire management team, I'd like to thank him for his dedication and service to the company, and wish him good luck with his new role. I'm pleased to announce that effective September 1, Rex Jackson, currently JDSU's Senior Vice President of Business Services, will assume the role of acting CFO. Rex has served as a member of the executive team in key roles since joining JDSU in January of 2011 and recently served 4 years as CFO at 2 public technology companies, Symyx Technologies and Synopsys. We look forward to a seamless transition of the finance function. With that, I'll now hand the call over to Dave, who will take you through the details of our financial performance for fiscal Q4 and will discuss our outlook for Q1.
David W. Vellequette: Thank you, Tom. Before I start, please note that all numbers are non-GAAP, unless I state otherwise. Fourth quarter revenue of $439.3 million was up 7.4% from the prior quarter and down 7% when compared to the fourth quarter of fiscal 2011. The sequential revenue increase was driven by strength in CommTest and continuing growth and demand for CCOP products, particularly in North America. Total book-to-bill for the company was greater than 1, with both CCOP and AOT above 1. CommTest book-to-bill ratio was below 1. Fiscal Q4 gross margin was 45%, down sequentially from 45.5% and down from 46.7% from the previous year. This sequential decline was primarily due to lower overhead absorption in CCOP and inventory-related charges in CommTest. Operating expenses of $159.5 million were up $3.4 million from the prior quarter, due primarily to employee variable compensation. The fourth quarter operating margin of 8.7% was up from the previous quarter's 7.3% as a result of higher revenue. Net income for the quarter was $35.3 million or $0.15 per share, which compares to $25.3 million or $0.11 per share for the prior fiscal quarter and to $53.9 million or $0.23 per share for the year-ago period. For the full fiscal year total revenue was nearly $1.7 billion, down 7.4% from the prior year. Gross margin for the full fiscal year was 46.1%, down from 47.6% for fiscal 2011. The decrease in gross margin was primarily due to lower gross margins in the CCOP segment. Operating income for the fiscal 2012 was $153.7 million or 9.1% of revenue, down from 12.7% of revenue for fiscal 2011. The lower operating income resulted from lower revenue and the associated lower gross profit. Our net income for the year was $137.3 million or $0.59 per share, down from $0.93 per share for fiscal 2011. A detailed reconciliation of our non-GAAP results to our GAAP results is available in today's press release. Our non-GAAP results exclude, among other items, amortization of acquired technology and other intangibles of $22.1 million, an $11.6 million charge for stock-based compensation, a $23.7 million charge for asset impairment of our hologram business and a $7.8 million accrual for restructuring and nonrecurring charges. These charges were partially offset by a $10.5 million payment from our insurance carrier for claims associated with the Thailand flooding. Including the noted items, the fiscal fourth quarter 2012 GAAP net loss was $24.3 million or a loss of $0.10 per share, which compares to a prior year fourth quarter GAAP net income of $9.3 million or $0.04 per share. For the full fiscal year, GAAP net loss was $57.7 million or a loss of $0.25 per share, which compares to a GAAP net income of $71.6 million or $0.31 per share for fiscal 2011. Now looking at quarterly revenue by region. Americas revenue of $236.3 million or 54% of total revenue was up $45.1 million from the prior quarter. The increase was due to seasonally higher demand from service providers and higher demand from network equipment manufacturers. EMEA revenue was $98.8 million or 22% of total revenue, down $3.4 million from the prior quarter. Macroeconomic concerns continued to drive cautious spending behavior in the region. Finally, Asia-Pacific revenue was $104.2 million or 24% of total revenue, down $11.6 million sequentially due to reduced revenue from a CommTest customer and as expected, lower revenue from our fiber laser customer. Moving to the segments. First the CCOP segment. Total CCOP revenue was $185 million, up nearly 7% from the prior quarter. Gross margin declined slightly to 27.8% from 28.1% in the prior quarter, due primarily to lower overhead absorption in Optical Communication, resulting from a reduction in the inventory. CCOP's operating income was $15.7 million, up from $14.1 million in the prior quarter due to higher revenue. Operating margin was 8.5% compared to 8.1% in the prior quarter. Now looking at the Optical Communications business. Optical Communications revenue in fiscal Q4 was $155.4 million, up 8.5% when compared to the previous quarter's revenue and down 10.9% from the prior year. 9 of 12 product lines grew sequentially with significant growth in pluggables and circuit packs. Optical Communications bookings grew for the fourth consecutive quarter and have the highest level of bookings in 6 quarters. ROADM revenue grew slightly more than $2 million over the prior quarter and represented 23% of optical revenue. Super Transport Blade revenue also grew sequentially. Tunable XFP revenue declined sequentially and represented 11% of optical revenue compared to 16% of revenue for the prior quarter. Tunable XFP book-to-bill was greater than 1. Optical Communications gross margin for the quarter was 24.5%, down from the prior quarter's 24.9% due to product mix and lower overhead absorption as we reduced our optical inventory level. The sequential ASP decline for Optical Communication was below the midpoint of our historical 2% to 4% range. Our target gross margin range for the Optical Communications portfolio is 30% to 35%. In our lasers business, fourth quarter revenue of $29.6 million was approximately flat compared to the prior quarter and up 6.5% compared to the prior year. Fiber laser revenue was $2.5 million. Book-to-bill for lasers was slightly greater than 1, with bookings at their highest level in 8 quarters due to solid-state laser demand. Laser's gross margin was 45.1%, up from 43.2% in the previous quarter. The improvement in margin was due to product mix. Our target CCOP operating model is for operating margins of 16% to 20% when quarterly revenues are above $210 million. We continue to focus on achieving our operating model and believe we will have the structure in place for the December quarter. Now moving on to our CommTest segment. Fiscal Q4 revenue of $196.2 million was up 10.3% sequentially and down 7.1% year-on-year. The sequential improvement was due to strength in deal test instrument, particularly for metro, Ethernet and cable. Fiscal Q4 gross margin for CommTest was 60.3% compared to 61.6% for the previous quarter and 59.3% in the previous year. Gross margin was impacted primarily by inventory-related charges, which included adjustments resulting from contract manufacturer consolidation and product portfolio pruning. CommTest operating profit was $26.1 million or 13.3% of revenue, which compares to 11.3% of revenue in the prior quarter. The higher operating margin was driven by higher revenue. Our targeted CommTest operating model is for operating margins of 20% to 23% when quarterly revenues are greater than $215 million and gross margins are at or above 64% to 66%. We also believe we will have the CommTest structure in place for the December quarter to meet this model. For the Advanced Optical Technologies, or AOT segment, fiscal Q4 revenue was $58.1 million, approximately flat from the prior quarter. Fiscal Q4 gross margin for AOT was 48.3%, up from 47.8% in the prior quarter. The higher gross margin was driven by product mix. AOT operating profit for the quarter was $19.4 million or 33.4% of revenue, up slightly from 33.1% for the prior quarter. Going forward, given the structural change that Tom announced earlier on the call, we will be reporting OSP separately from holograms. For fiscal fourth quarter, OSP revenue was $52.9 million and gross margin was 51.1%. Holograms revenue was $5.2 million and gross margin was 19.2%. The AOT targeted operating model is for operating margins of 32% to 35% when quarterly revenue is greater than $55 million. The OSP targeted operating model is for operating margins of 34% to 37% when quarterly revenue is greater than $52 million. The operating model for the hologram business is breakeven when quarterly revenue is $5 million to $6 million. As a reminder, JDSU's total company targeted operating margin range is 14% to 17% when quarterly revenue for the company is $180 million or greater and the gross margin is 49% or higher. Moving to the balance sheet. For fiscal Q4 2012, the company generated $38 million of cash from operations, and capital expenditures totaled $15.3 million. At the end of fiscal Q4, the company held nearly $753 million in total cash and investment. Also, net inventories sequentially declined $17.6 million to $174.5 million. Finally, during the quarter we repurchased $14 million of outstanding convertible debt. And subsequent to quarter end, we retired an additional $50 million of debt. As a reminder, the outstanding debt balance was reclassified to a current liability and is due in May 2013. Headcount as of June 30, 2012 was 4,934. Now to our Q1 guidance. Based on our current visibility, we expect a normal seasonality in CommTest demand, and we expect the current macroeconomic environment to continue to impact our customers. Therefore, on a sequential basis, for CommTest, we expect a seasonal revenue decline of 9% to 14%. For CCOP, we expect revenue to be up 3% to 7%. For OSP, we expect revenue to be up 2% to 5% and for holograms, we expect revenue to be flat. The company's operating expenses are expected to increase by $1 million to $2 million, primarily driven by investments in R&D, given the current product investment cycle. Now looking at the operating margins for the segments. CommTest operating margin is expected to be between 8% and 10.5%. CCOP operating margin is expected to be in the range of 9.5% to 11%. OSP operating margin is expected to be approximately 36%. Hologram operating margin is expected to be breakeven. Taxes, interest and other income are expected to result in a net expense of approximately $5 million. Gear count for calculating EPS is expected to be approximately 237 million shares. Capital equipment purchases will be approximately 4% of revenue. Taking into consideration factors above, as well as the historical September quarter segment revenue mix which includes more CCOP and less CommTest as a percentage of total revenue, we expect first quarter revenue to be between $415 million and $435 million and our non-GAAP operating margin to be between 6.5% and 8.5%. I will now turn the call back to Tom.
Thomas H. Waechter: Thanks, Dave. Looking ahead to fiscal 2013, I am encouraged by the performance of the business despite continued macroeconomic uncertainty and limited visibility. Although demand drivers continue to increase significantly, we expect global carrier CapEx spending to be up only moderately as they continue to be cautious for the balance of calendar year 2012, driven by lingering economic concerns in Europe and other regions. We are encouraged by the sequential revenue growth we saw in Optical Communications in CommTest in fiscal Q4, particularly in areas such as client-side pluggables and field instruments. This indicates increased market penetration. Our investments in innovation and leaner operations are driving resiliency in our top line and profitability amidst market uncertainty. Our focus on network-related innovation was again recognized by both customers and third parties in fiscal Q4. Notably in May, our Optical Communications group received the Strategic Supplier of the Year Award from Ciena. CommTest also won multiple industry awards, 2 of which recognized PacketPortal for breakthrough innovation. We are excited about the momentum from our numerous differentiated products in our core businesses and the opportunities for accelerated growth in adjacent markets like fiber lasers and gesture recognition. Market share gains are becoming more evident. As we enter fiscal 2013, our priorities will continue to center on collaborative innovation with our customers, strategic acquisition, global expansion, lean, scalable business models, partnering with our strategic suppliers and a commitment to our employees. Operator, we'll now take questions.
Operator: [Operator Instructions] Your first question comes from the line of Kevin Dennean, Citi.
Kevin J. Dennean - Citigroup Inc, Research Division: Dave, good luck in your next endeavor. Quick housekeeping question, you mentioned expectations for only modest carrier CapEx increase in the back half of the year. I mean it's a clear risk, but are you expecting fairly tepid trends in North America and Asia Pac also?
Thomas H. Waechter: Yes. I think North America we -- the carriers still have a pretty big number out there as far as their CapEx spend, so we think -- we're not giving guidance out into the December quarter, but that could be reasonably healthy if their numbers continue to hold out there. Asia, China has seen a little bit of a slow them, but I think we are finding throughout Asia a pretty strong environment for us, so that should be reasonable going out through this quarter.
Kevin J. Dennean - Citigroup Inc, Research Division: Okay, great. And then you mentioned in the optical -- communications part of CCOP strength in 40G and 100G components, can you give us a little bit more color on this? Are you seeing that -- demand for that product set accelerating quarter-over-quarter? Is it relatively balanced across your customer base or somewhat more concentrated? And just how large a portion of CCOP is 40G and 100G now?
Alan S. Lowe: Kevin, this is Alan. The 40G and 100G components go to our customers who have vertically integrated capability in line cards, and we're seeing rapid growth of those customers, as well as additional customers behind them as they introduce their 40 and 100G. As far as splitting out the revenue, we don't normally do that, but it is becoming a larger part of our business.
Operator: And your next question comes from the line of Patrick Newton, Stifel, Nicolaus.
Patrick M. Newton - Stifel, Nicolaus & Co., Inc., Research Division: I guess I want to jump in on the T&M side, mainly focusing on the guidance. Obviously very solid quarter there. But I guess for Tom, could you walk us through the puts and takes, I guess either by geography or maybe by like field test relative to servers -- service assurance that is driving this sequential decline, because it appears a little bit aggressive relative to normal seasonality. I'm trying to get a sense macro relative to conservatism. And then I guess for Dave, if we could talk about the consolidation of your T&M supply chain. If I take the midpoint of the expected sequential revenue decline for September, and then I apply normal seasonality -- I'm sorry, seasonality in December, it would appear that you would approach your targeted revenue for your operating model. And I guess in this scenario, do you think you have the structure in place to achieve this model?
Thomas H. Waechter: Patrick, on the -- as far as the September quarter, as you know it is a seasonally down quarter for CommTest in particular. We see a similar pattern. It's not out of range from what we would normally see in previous years. There were a few acquisitions in that time frame in a couple of the previous years that made for the numbers off. But when you back those out, it's pretty normal. I say the concerns always are North America, as there's a number vacations going on in the customer base, as well as Europe. You've got the vacation period, but also continued, I think, weakness in Europe, so that probably makes that situation a little bit worse. It is pretty much across the business, although I'd say field instruments, which was strong for us last quarter is probably likely to see the larger decrease in this coming September quarter.
David W. Vellequette: And, Patrick, on the supply chain side, you're right. We hit the $215 million levels. And I think hitting the $64 million to $66 million range for the gross margin is obviously very reachable. Couple of things, obviously the inventory charge activity and mix of the product as you get that large, we think there will be more software content. Those will help quite a bit. And with that range of -- even if we're like $64.7 million roughly of a gross margin number, the OpEx would grow another $4 million. We should expect it to grow somewhat with that kind of -- with the variable comp structure, et cetera, as the revenue would reach that kind of a level. And if you look at the quarter we just finished, we went from $178 million to $196 million, and we grew the OpEx by $4 million, so growing $196 million to $215 million, growing another $4 million would seem in line from that perspective. So I think it's -- that's why we believe we'll have the structure in place, and it would be a matter of whether the demand is there.
Patrick M. Newton - Stifel, Nicolaus & Co., Inc., Research Division: All right, that's very helpful. And I guess sticking to kind of the target model theme, if we look at Optical Communications, I think you said in your prepared remarks that you'll have this structure in place by December. If I take the current revenue level, I think it implies more than 100% contribution margin on incremental revenue to hit that target. So can you walk us through the steps that remain in order to get that structure in place? And I'm sure that inventories declining played a role in that in the current quarter, but that would be helpful.
David W. Vellequette: Yes. I think -- also if you looked at the slides we sent out, on Slide 11, it could help quite a bit. Because we know one, that the laser revenue as a percentage of the total would have to be about 20% of the revenue. With lasers, we do right -- sit around that $30 million mark, and we'd have to be around $42 million, and that has much better gross margins than the optics. And then the key is for the optical revenues to have a margin of about 32.5%, and that will be driven obviously by the product mix and products like the tunable XFP, SFP+, which we only have really one, maybe one competitor. Last quarter, for example, we shipped about 7x to 8x more than our nearest competitor. So those types of products will help get that gross margin up closer to the low 30s, which we need in order to make that model. So it's about structurally being there from an OpEx standpoint, having the portfolio available, and then the real question would be is how does the mix come out when the orders come in.
Operator: And your next question comes from the line of James Kisner, Jefferies & Company.
James Kisner - Jefferies & Company, Inc., Research Division: So I guess the first question just relates to CapEx. There's been some comments recently from an analyst today on a slowing North America. I just want to confirm just that you guys have not seen a recent slowing in North America from a CapEx perspective.
David W. Vellequette: Well actually, we've said even last year and then Tom mentioned this, when we go through the seasonal adjustment, North America from a dollar standpoint actually comes down more than Europe or Asia. And it's just that Europe as a percentage standpoint usually has a higher percentage decline, and so we're seeing more of what I'll call the typical range. That said, I haven't seen the carrier state that they're adjusting their plans on CapEx spending for the second half, from what they said on their most recent calls. I did see that article today, but I'm not sure where the support was for the numbers that came out on that article.
James Kisner - Jefferies & Company, Inc., Research Division: That's great. So turning gears to just recognition, generally you talked about as much in recent quarters, but I was wondering if you can give us any color on this new opportunity other than what you said. Is it -- for example, is this product a new product category for the customer that you're selling into?
Alan S. Lowe: This is Alan. Thanks for the question. It's a different customer, and it is a new application for that customer.
James Kisner - Jefferies & Company, Inc., Research Division: A TV program?
Alan S. Lowe: I'm sorry.
James Kisner - Jefferies & Company, Inc., Research Division: Is it a TV?
Alan S. Lowe: I can't get into that. But you can imagine it's something other than gaming that we've been involved with.
James Kisner - Jefferies & Company, Inc., Research Division: And when would you expect this...
Thomas H. Waechter: It’s related to home entertainment.
Alan S. Lowe: Yes, it's a home entertainment application.
James Kisner - Jefferies & Company, Inc., Research Division: Home entertainment application. Okay. Any sense for when the revenues from that -- I mean you said next 12 to 18 months, but that's pretty broad. Like is that a similar size opportunity as the last opportunity? When might that sort of flow through for revenue magnitude? And you kind of comments around that you could provide?
Alan S. Lowe: Yes, it's really hard to tell the magnitude because I don't know how successful they're going to be at going to market, but I can say that we are engaged with not just this one home entertainment application, but other applications that will be coming to market in that same time frame. So we're trying to spread our opportunities amongst multiple customers and place our bets so that if any of them are successful, we'll be successful.
Operator: Your next question comes from the line of Amitabh Passi, UBS.
Amitabh Passi - UBS Investment Bank, Research Division: My first question just had to do clarifying the operating margin guidance for CommTest. I'm still a little confused, I think you guided revenues down 9% to 14%, operating margins down 400 basis points sequentially compared to last year where revenues were down 12% and margins down less than 200 basis points. So just trying to understand why we're seeing more negative leverage with the guidance in CommTest?
David W. Vellequette: I think it has more to do with the mix that we have and the investment cycle that we're currently in. If I remember last year for CommTest, the OpEx came down quite a bit from the Q4 to Q1. And this quarter, the numbers we provided don't have that same kind of adjustment to the OpEx.
Amitabh Passi - UBS Investment Bank, Research Division: Okay. And then just as a follow-up, can you help us quantify what the impact was from the inventory-related charges in CommTest and then maybe just the impact of the under-absorption in CCOP?
David W. Vellequette: Yes. So in the CommTest area, those charges were greater than 1 gross margin point for both CommTest and for CCOP.
Operator: The next question comes from the line of Kent Schofield, Goldman Sachs.
Kent Schofield - Goldman Sachs Group Inc., Research Division: Can you give us a little bit more color on the share gains that you talked about and how sustainable you think those are going forward?
Thomas H. Waechter: Yes. So I think on the CommTest side, the ones that were apparent were in the field instruments area. We saw the biggest share gain, and we think based on the new products and some additional software solutions that we're layering across the top of the instrument, we think we have some real competitive advantages there. I think I'll let Alan speak specifically around -- about the CCOP part of it.
Alan S. Lowe: Yes. We believe that we gained significant share last quarter, when most of our customer -- our competitors aren't really growing or forecasting the kind of growth that we are having. And with 8 of our 10 top customers growing, we believe that it's sustainable not just in the customers that we have large share at, but we're gaining significant share at the customers that we have smaller share at.
Operator: Your next question comes from the line of Mark Sue, RBC Capital Markets.
Mark Sue - RBC Capital Markets, LLC, Research Division: I was hoping if you could share with us your working assumption on how you think of the seasonality of the CommTest business following the dip near term. In some years during the December quarter, we get a flush, some years we don’t. And perhaps how the product portfolio is now split between wireless and wireline.
Thomas H. Waechter: Yes, I think as far as the numbers that are out there associated with the CapEx based on what we're seeing as far as the seasonal decline in September, as Dave mentioned earlier if the network operators, specifically in North America don't pull their CapEx numbers off the table or reduce them, then we would expect the following quarter to be pretty healthy. If you just run through the numbers, that would be pretty healthy for us. I think as far as wireless and wireline, those products that we support mobility with, they're running about 40% of our total revenue for CommTest, and that would include the backhaul.
Mark Sue - RBC Capital Markets, LLC, Research Division: Got it. Is PacketPortal and PacketInsight, is that for both wireless and wireline?
Alan S. Lowe: Yes, they can be used in both the wireless environment and wireline environment.
Mark Sue - RBC Capital Markets, LLC, Research Division: Got it. And then on -- in optical, it now seems that the segment might grow 3 quarters in a row. Is it onward and forward from here? Maybe you could just give thoughts on industry lead times for optical components and just kind of the thought of which strength can kind of continue for optical?
Alan S. Lowe: Well, as we said in our introductory comments, our bookings have reached last quarter a 6-quarter high, so we're believing that we'll maintain our growth both in this quarter. And if CapEx, as Tom indicated, continues to grow, we believe it will grow in the December quarter. I think -- I didn't hear the beginning of your question.
Mark Sue - RBC Capital Markets, LLC, Research Division: Just wondering if it does feels that, with lead times where they are.
Alan S. Lowe: Oh, lead times, okay. Lead times, it depends on the products, things like tunable XFP, lead times we got down relatively short last quarter, but those are starting to stretch out a little bit as demand for those products increases. And so it really depends on whether or not our customers are forecasting the product to be needed or not. But overall, average lead times are down for the last few quarters as we've been really trying to work on flexibility models to meet our customer's demand.
Operator: Your next question comes from the line of Simon Leopold, Raymond James.
Georgios Kyriakopoulos: This is Georgios Kyriakopoulos, in for Simon Leopold. So first of all, can you give us some color on the CommTest sale, especially if you could break down wireless versus optical? And if you cannot really give us a number, at least can you give us some color on how these subsegments performed and how you expect seasonality within these subsegments to shape up for the remainder of the year?
Thomas H. Waechter: Okay. So I think your question was primarily around CommTest, correct? Okay, I think as I mentioned earlier, wireless is running including backhaul test and solutions running about 40% of our revenue, so about -- split about 40% wireless, it's about 60% wireline. And then I think as far as the -- any subsegments, we really don't typically get into the breakdown of that, any further down than just looking at wireline and wireless.
Georgios Kyriakopoulos: Okay. Then turning gears, the tunable SFP+, you mentioned that basically you've had about 5x to 6x more revenue than your nearest competitor. Can you comment on the revenue opportunity for this product based on your current market sizing? And also are you displacing fixed wavelength SFP+ products?
Thomas H. Waechter: Well, I think Dave said it was 7x to 8x our nearest competitor.
Georgios Kyriakopoulos: Well that's even better.
Thomas H. Waechter: Yes. So tunable SFP+, we've been saying over the last few quarters on the earnings call that we will be releasing it this summer, and we are. We think it's significant incremental market to tunable XFP+ initially, and we are replacing significant amounts of fixed wavelength DWDM XFPs with both tunable XFP today, as well tunable SFP+ in the future. So we're pretty excited about the lead time we have and the time to market advantage we have on our competitors with regard to tunable SFP+. And many of our customers are designing or have designed cards that incorporate tunable SFP+ into their jacket. So we think it's a great opportunity, and one that we're just at the very beginning of.
Georgios Kyriakopoulos: Okay. So the last question I have is about ROADMs. It seems that this quarter you had an uptick after like 4 quarters of declines. And the major competitor basically now has reported like stable ROADM sales for the last 2, 3 quarters. So wonder if this is a result of customer migration to flexible grid ROADMs. So as you talk to the customers, what feel do you get with respect to gaining back market share when your TrueFlex product hits the market?
Alan S. Lowe: Yes. Well it's hard for us understand what our competitors are saying sometimes, because they stopped giving the specific revenue for ROADMs. But I think the last trajectory that they talked about was that they were reducing ROADM revenue. But I think we really focus on we're going to provide value to our customers and all our customers to win. We don't think that there's any real deployment of colorless, directionless and contentionless networks today, and we believe that we are in the design slots for those networks as they get deployed in 2013. So we're pretty excited where we are with our TrueFlex product line, and we won design slots at the blade level with those products today, and we're working with our customers to bring those to market in the next few quarters.
Operator: Your next question comes from the line of Ehud Gelblum, Morgan Stanley.
Ehud A. Gelblum - Morgan Stanley, Research Division: Dave we will definitely miss you. First a clarification, you said on this GenComm acquisition today that it was -- you were doing over $7.5 million in revenue, but then it was a much bigger business outside of that. Did you give what the revenue was for all of GenComm and how much you'll be taking on? I guess the $7.5 million becomes awash, but the rest of it, I guess, is incremental.
Thomas H. Waechter: No, we didn't give any number specific to the rest of the opportunities. The couple aspects we were the prime distributor for the majority of the GenComm products, except for what was sold within country for GenComm. We also see the opportunity to leverage some of our other products going forward and to develop some additional capabilities between the base station test and what we're doing on the backhaul. We think that will be a significant competitive advantage. So there are some synergies there we would expect in future sales. We will have a margin pickup based on now owning the business directly and not reselling.
Ehud A. Gelblum - Morgan Stanley, Research Division: Okay. I'm still confused, what's the incremental revenue you were picking up?
Thomas H. Waechter: We didn’t say. We said that what we did with them this last fiscal year 2012 was $7.5 million, which was the majority of their sales. But we didn't say what the balance was.
Ehud A. Gelblum - Morgan Stanley, Research Division: So if we're thinking that their total sales were $10 million, then that's relatively in line?
Thomas H. Waechter: We didn't give that other number.
Ehud A. Gelblum - Morgan Stanley, Research Division: Well, we have to know something. Otherwise, how can we possibly model it or know how to -- I mean you're guiding to a certain number, obviously that's next quarter. This doesn't close for a little while, but we have to kind of know what it looks like when it comes in. So I mean would it be too far off base to assume $10 million or $11 million, in which case the incremental is $4 million, $1 million a quarter? Is that -- then it would be like you're saying somewhat irrelevant, but just give us something to go on.
Thomas H. Waechter: That's probably a reasonable range.
Ehud A. Gelblum - Morgan Stanley, Research Division: Okay, I appreciate it. Now, on the gross margin issue on the optical com, I think originally I think the guidance was for it to go up this quarter and it came down. Was that due to the mix of the different products within optical com that caused that? Can you kind of go over gross margin puts and takes possibly between the tunable XFPs, the Super Transport Blades, the ROADMs and how -- assuming mix was the issue how that turned into the gross margin it did and what you're expecting for next quarter?
David W. Vellequette: Yes. This is Dave. So as I noted, that -- just the inventory charges because we depleted inventory versus running the fabs, that was worth more than 1 point of margin in itself. So that would have had the gross margin for CCOP and for optics higher, and then the mix just a more favorable mix of tunable XFP, et cetera would have made that margin even higher.
Operator: And your next question comes from the line of Alex Henderson, Needham.
Alexander B. Henderson - Needham & Company, LLC, Research Division: Dave, sorry to hear you leaving, I really enjoyed working with you. A couple of quick questions here on some of the products. One, could you talk about your intentions around narrow line with Coherent lasers? Do you have any expectation of being able to get into that? And can you clarify what you meant by what you were selling into the 40 gig and 100 gig? Because I didn't really follow what you'd said in the call.
Alan S. Lowe: Sure, Alex. We have a product road map that includes the various narrow line width lasers to come out in relatively few quarters, and really trying to catch up with some competitors, frankly. So we're behind them in narrow line lasers. So we're depending on some of our competitors initially as we introduce our 40 and 100 gig modules. And as far as our components that address the 40 and 100 gig market, those are primarily today high-volume products in the modulators for Coherent 40 and 100 gig, as well as the Coherent receivers.
Alexander B. Henderson - Needham & Company, LLC, Research Division: Modulators and receivers are the primary piece of that business. You've made the comment that they're being built into other boards. I was a little confused by that. I mean are you selling these to OEMs who are building into the boards? Is that what you mean?
Alan S. Lowe: We're selling these primarily into the network equipment manufacturers, who put them into their system.
Alexander B. Henderson - Needham & Company, LLC, Research Division: Just want to make sure I was clear on that. The second one on the laser side, you said that your solid-state laser business had "a significantly positive book-to-bill." Can you give us a little bit more clarity on how that plays? I mean should we be expecting that to play out over a couple of quarters? Or will that be one quarter to get that book-to-bill number delivered? What's the delivery time on that?
Alan S. Lowe: Some of the larger orders were for over multiple quarters that we would build up capacity in anticipation of their demand, so I would say that that's the help in our Q1 as well as Q2.
Alexander B. Henderson - Needham & Company, LLC, Research Division: So a couple of quarters to get to the realization. And then on fiber laser, $2.5 million down from $10 million. I know the $10 million was a pipeline fill a little bit. How do you see that -- the recovery shape there?
Alan S. Lowe: We believe it's going to be up in Q1, whether or not -- it shouldn't get back up to that Q3 level, but we anticipate as more and more of our customers' customers adopt the fiber laser in their tools that, that business will continue to grow in calendar 2013.
Operator: And your next question comes from the line of Subu Subrahmanyan, TheJudaGroup.
Natarajan Subrahmanyan - TheJudaGroup, Research Division: Two questions. First question is on the optical market, if you look at kind of the bigger picture, how much of this would you -- your strength when you look at share gain. And specifically I was hoping you could talk about on the pluggable side in the LAN/SAN market versus how much of it do you think is likely better end market and you're seeing it because of particular customer mix?
Thomas H. Waechter: Well, I think it's a combination of both. I mean if you recall, probably over the last 2 to 3 years, we put a major emphasis on growing our pluggable client-side portfolio, and those products have been coming out to market and we're winning new design slots at customers where we have had very little to no footprint. So we believe that we're going to continue to grow share in the pluggable business and take share from our competitors at major, major customers. That's number one. As far as whether we're winning because our customers are winning, I believe we have the broadest customer base, and we believe we enable our customers together through collaborative innovation for them to win. So I think it's a combination of both our customers are winning, but we do have a broad footprint. And 8 of our 10 leading customers grew our business last quarter. So we think it's a combination of both.
Natarajan Subrahmanyan - TheJudaGroup, Research Division: And the pluggable LAN/SAN, it's fair to say that there's one customer that's fairly binary, if you were a preferred supplier or not. Are there opportunities at that one large customer as well?
Thomas H. Waechter: We don't talk about specific customers, but yes.
Natarajan Subrahmanyan - TheJudaGroup, Research Division: And question on CommTest, if you look at the $215 million kind of number you need to be at to hit the operating model versus this quarter, the guidance for September and the mid $170 million, that would imply a 20% plus uptick. You've seen that in kind of years where there's been a good year-end CapEx flush. But is it fair to say, Tom, that this year you're not expecting a kind of a typical carrier flush, you're expecting it to be somewhat more moderate?
Thomas H. Waechter: Again, we don't give guidance out into the December quarter. But if the CapEx numbers hold up, there is pent-up demand and that could translate into a healthy situation in that quarter, but we have to see how the numbers hold up over time.
David W. Vellequette: I think also if you look at what's been happening in the optical space, the carriers have been buying, building out that infrastructure, so that usually leads -- what follows from there is in the purchases of the instruments for the test area. If you take what AT&T and Verizon said they'll spend in the second half, it certainly leads to the fact that we should have a -- you would think a budget flush of, I'd say, normal ranges. Last year, it was low because it was mostly driven by cable, but it's implied unless they change their expected CapEx for the second half, you would expect there to be a normal budget flush for sure.
Natarajan Subrahmanyan - TheJudaGroup, Research Division: Understood. And Dave, thank you for all the help and good luck.
Operator: And this concludes the question-and-answer portion for today. I would now like to turn the call back to Tom Waechter for closing remarks.
Thomas H. Waechter: Thank you, operator. As our call concludes, I'd like to thank our employees for their numerous achievements and strong support of our customer base. I'd also like to thank our customers, partners, vendors and long-term shareholders for their continued interest in JDSU. Have a great evening.
Operator: Thank you very much. This concludes today's conference. Thank you again for your participation. You may now disconnect. Have a great evening.